Operator: Welcome to the SEI Third Quarter 2017 Earnings Conference Call. [Operator Instructions] And as a reminder, today's call is being recorded. I would now like to turn the conference over to your host, Chairman and CEO, Al West. Please go ahead, sir.
Al West: Thank you, and welcome, everyone, good afternoon. All of our segment leaders are here on the call, as well as Dennis McGonigle, SEI's CFO; and Kathy Heilig, SEI's Controller. I'll start by recapping the third quarter 2017. I'll turn it over to Dennis to cover LSV and the investments in new business segment. After that, each of the business segments leaders will comment on the results of their segments. Then finally, Kathy Heilig will provide you with some important company-wide statistics. Now as usual, we will fill questions at the end of each report. So let me start with the third quarter of 2017. Third quarter earnings increased by 17% from a year ago. Diluted earnings per share for the third quarter of $0.63 represents a 19% increase from the $0.53 reported for the third quarter of 2016. We also reported a 9% increase in revenue from third quarter 2016 to third quarter 2017. Plus during the third quarter our non-cash asset balances under management increased by $13.5 billion. SEI's assets grew by $6.4 billion and LSV’s assets grew by $7.1 billion. In addition, we repurchased approximately 1.2 million shares of SEI stock at an average price of $57.76 per share that translates to approximately $68.2 million of stock repurchases during the quarter. Finally during the quarter we capitalized approximately $12.6 million of the SEI wealth platform development and amortized approximately $12.8 million of previously capitalized SWP development. Plus we capitalized $2.7 million of IMS development. Our sales events net of client losses were $24.2 million which would generate $17.1 million of recurring revenues, each of the segment heads will address their third quarter sales activity. Three weekends ago we converted Regions Bank to SWP and migrated our large tranche of advisors to SWP both projects went extremely well. We’re proud of the work performed by the many SEI people involved in the success of the project. We believe that regions installation is a signal to the market that the SWP platform can handle large Platform-as-a-Service clients. As a result we expect increase activity in the bank market. Now the advisor unit migrated from Trust 3000 to SWP an additional $12 billion in assets, 90,000 accounts and 924 firms. It’s another great success and the next migration is scheduled for March 2018. We’re also making investments in the IMS platform aim to enhance our competitive position and to support the installation of large new clients. And as you know, at the beginning of the quarter we concluded an acquisition of Archway Technology Partners, a leader in serving the single and multifamily offices and the institutions that provide services to family offices. This acquisition is helping us enter a large adjacent market and also provide new specialized technology to our existing businesses. In the Institutional Investors segment we are investing in the foundation and endowment market segment the fine contribution solutions, as well as other global market segment opportunities that buck the downward trend occurring with U.S. corporate defined-benefit plans. While we are facing headwinds in the DB market, we’ll continue to have success in the newer markets. So in summary, we are investing and growing in each of our business lines as they transform themselves to meet the changes in their marketplaces. While these changes are challenging they’re also full of new opportunities in the intermediate and long-term. And we look forward to capturing those opportunities. And so this concludes my remarks. So I'll now ask Dennis to give you an update on LSV and the investment in new business segment. I’ll then turn it over to the other business segments. Dennis?
Dennis McGonigle: Thanks Al. Good afternoon, everyone. I’ll cover the third quarter results for the investments in new business segment, discuss the results of LSV asset management and talk about few items and note for the company. During the third quarter 2017 events in new business segment continued its focus principally on two areas, the ultra-high-net-worth investor segment and the development of a web-based investment services advice offering coupled with the use of mobile technologies. During the quarter, the investment in new business segment incurred a loss of $3.3 million which compares to a $3.8 million loss during the third quarter 2016. There's been no material change in the segment. Regarding LSV, our earnings from LSV represent our approximate 39% ownership interest during the quarter. LSV contributed $39.3 million in income to SEI during the quarter. This compares to $32.6 million contribution for the third quarter of 2016. The asset growth was approximate $7.1 million during the quarter from both market appreciation and net positive cash flow. Revenue was approximately $126.7 million of which about 3.5% was performance fee related. Quarterly during the quarter our tax rate was just under 28% compared to the 33.8% rate experienced during the third quarter of 2016. Similar to first and second quarter of 2017, the lower rate is principally due to the impact of the accounting change on recording the tax effect from stock option exercises. As we stated in this past, this new rule will likely result in a more volatile tax rate quarter-to-quarter than we have previously experienced. As you're aware, we completed the acquisition of Archway Technologies effective July 3, 2017. This is the first quarter consolidated financials including the Archway results. The net impact to earnings during the quarter from Archway is approximately a negative $500,000 all recorded in the investment managers segment. Steve Meyer will discuss the SEI Archway as part of the segment report. I'd now like to cover a few items that may have some future financial impact. As you are aware, remaining life of the platform is approximately five years. We continually reassess the useful life of this asset. In early October as Al mentioned, we successfully installed Regions Bank on the Platform-as-a-Service solution. In addition we successfully advanced the technical and business validation of our Software-as-a-Service offering that will launch with Wells Fargo Bank. Given this, we are currently reassessing the remaining useful life of certain components and functionality of the platform with an expectation that we may be extending the useful life for a portion of the asset. Based on our initial estimates this will result in a reduction and amortization expense of between $3 million and $5 million per quarter starting in the fourth quarter. A second item of note for the fourth quarter and 2018 is related to stock expense. As you know our equity options that are issued as part of our overall compensation program best one specific annual EPS targets, adjusted for option expense were achieved. Based on our EPS results year-to-date and our potential fourth quarter earnings, it is possible that certain trance of the options may invest sooner than currently modeled. If this occurred, this would lead to an acceleration of option expense into the fourth quarter of 2017 with a reduction in option expense in 2018. Please refer to our soon to be filed 10-Q for additional information on all of these items. I will now take any questions.
Operator: [Operator Instructions] And our first question comes from Glenn Greene from Oppenheimer. Please go ahead, sir.
Glenn Greene: Just couple of questions. Just on the LSV, could you parse the $7.1 billion between the market appreciation and the positive flows?
Dennis McGonigle: Yes, they had about 1.5 billion in net positive flows and the rest was market.
Glenn Greene: And then on terms reassessing the useful life of the platform, how far are you extending it is, it was five years what are you thinking now?
Dennis McGonigle: Probably, and I don’t want to additional five years on certain components. Not only entire asset and is principally stock related to the newer thing we've built for regions and that market segment, as well as some of the work we've done related to Software-as-a-Service delivery for Wells.
Glenn Greene: And the incremental stock option expense what you think about 4Q?
Dennis McGonigle: I haven't really decided that completely. I would say trance dependent but if at some level I think it would probably be at least or around the range of the reduction in amortization expense. So, you wind up trying with an offset on cash items.
Operator: And our next question comes from Robert Lee from KBW. Please go ahead.
Robert Lee: May really just follow-up to the last question, just to clarify some of the stock options you know its assuming you have it this quarter truly I think you mentioned it was just kind of pulling forward what would have kind of come in over time?
Dennis McGonigle: 18.
Robert Lee: And that’s right yes.
Dennis McGonigle: Exactly, that’s really timing and frankly when you get something like that you actually had a little bit lower expense that you would have incurred if it occurred later, the way the rule works.
Operator: [Operator Instructions] And now to line of Chris Shutler from William Blair. Please go ahead.
Chris Shutler: Dennis, my questions have been answered.
Dennis McGonigle: Thanks Chris.
Operator: Thank you. And we have no one else in queue. Please continue.
Al West: Thank you, Dennis. I will now be going to turn it over to Joe Ujobai to discuss our private banking segment. Joe?
Joe Ujobai: Great thanks Al. I’ll start with the financial update on the third quarter followed an update on conversion and new business activity. Third quarter revenue of $118.5 million was up slightly from the second quarter. Revenue increase was driven by higher SWP-related recurring and one-time revenue and also higher asset management revenue. Expenses were also up slightly from the second quarter. In the investment processing business the expense increase was due to SWP-related costs as we continue to install the backlog an increase sales and marketing costs as we advanced sales agendas. About a third of the expense increase was due to direct where investments sell advisors costs based on global asset management growth. Operating profit of $2.7 million was down slightly from the second quarter. On October 2 we achieved a significant milestone by successfully converting the 30th of 40 signed SWP platform clients. This client is the private wealth asset management and institutional services businesses of Regions Bank. The bank converted from various other third-party systems to SWP because it provides a unified solution that is fully integrated across the advisor and client experience including front office, trust in client accounting and securities processing services all in a single infrastructure. The conversion is significant for several reasons, Regions Bank is a lead U.S. client for the SEI wealth platform in the platform as service market segment, a key target market and large opportunity for SEI. The Regions Bank were delivering significant functionality enhancements to the platform especially to our integrated finance solution, other clients and prospects will benefit from these enhancements and also the conversion of this large client will help us improve scale to our U.S. service, operations and technology infrastructure. The conversion went very well we are looking forward to a long-term relationship with this new client partner. During the quarter net sales events were $11.7 million of which $5.4 million is recurring and $6.4 million is one-time or professional services events largely attributed to the SWP conversion and custom development activity. Including the sales of events our three new SWP client, Trust Moody National Bank a new client to SEI and two longstanding Trust 3000 clients moving to SWP Moody National Bank and City National bank. The CITY National decision includes an additional book of business which is new to SEI. Sales and contracting conversations continue at an active pace with a good balance of prospect types including current Trust 3000 clients additional books of business and current clients as well as new names. During the quarter we recontracted six Trust 3000 clients securing $2 million in current annualized revenue. Our goal of Trust 3000 recontracting is to protect our current revenue and maintain strong relationships until these clients are ready to convert to SWP. Overall, we are maintaining current revenue levels from recontracted clients. Our asset management distribution business also showed growth with positive cash flow by adding $233 million of net new assets bringing us slightly over $1 billion in net new assets for the year. The new flows are representative of key distributors in Asia, Europe and the U.S. Yet to the conversion of Regions Bank, our total signed but not installed backlog for the SEI wealth platform is now approximately $30 million in net new recurring revenue. We expect to install $7 million in the next 18 months and will remain to install later. In conclusion we are focused on the following, capitalizing on our momentum to grow the backlog, installing that backlog and improving profitability of the banking segment. I’d now be happy to take any questions?
Operator: [Operator Instructions] And we'll go to line of Robert Lee from KBW.
Robert Lee: Yes, just curious I think your last comment about to backlog to install was that 7 million over the next 18 months did I have that correct so kind of through called the middle of 2019?
Joe Ujobai: Yes.
Robert Lee: And that I assumed that includes kind of the first tranche so to speak of the Wells towards the end of next year?
Joe Ujobai: No, it could not really know that really would be later in 2019.
Robert Lee: Later okay, just want to make sure if my dates right. And I guess the kind of more conceptual question and I mean obviously you built that platform you have all this and you do - we do read a lot or see a lot about companies looking at new technology you know think like the block chain or what not for processing transaction processing. And I mean is that kind of a capability that you had to start kind of investigating I assume and investing in and how bad would I guess over time be adopted into the SWP platform or…
Joe Ujobai: We’ll talk some more about that at the Investor Conference in November, but it certainly an area that we’re looking at around innovation and its actually up two pilots one in the U.K. and one in the U.S. the SWP related and Steve also has a pilot that he probably - talk about Steve will talk about in November at the conference, but yes absolutely we think that block chain and other new technologies can be incorporated into the platforms we provided today.
Robert Lee: And may be just one last one on our margins in the segment, so you bought regions on you meaning up and running, I believe originally there was may be some expense that would kind of flow away as regions was converted. Should we expect that and I think that would actually kind of seats through the numbers this can be absorbed in some other incremental?
Joe Ujobai: It will take a little while to catch but here sort of how I look at it, we talked about one of our biggest expense is development and development as we have discussed in recent calls really peak earlier this year. And that certainly will start to decline probably into next year sometime as we finish up some of these key agendas for this large bank Platform-as-a-Service or were the regions bank model, as well as the Wells Fargo model for Software-as-a-Service. So we believe that development expense has peaked and that will start to decline. We hopefully will see some expense increase on these sales compensation and conversion expense side because we’re hoping this momentum drive where we believe this momentum will drive increased sales and conversions. The good news though is we're also with these big conversions we’re starting to see some more critical mass in the U.S. which will overtime drag scale in service model, the operating model and the technology infrastructure. So you might have to see that I think start to see the balances or the incremental for a couple of quarters, but we are definitely focused on profitability.
Robert Lee: I know I lied when I said one last question, I have one last question the - now that you got regions on board, you've kind of been building out that SAS platform. I mean I know every potential client is different but if today you had another regions type client kind of sign up you know how much faster do you think kind of the conversion process would be about?
Joe Ujobai: We think it’s about 18 months that’s pretty fast for a big organization like that, I think we probably shade a quarter of that or so but and we’re doing the smaller community banks now in six to nine months. I’d hope that we can do these larger regional banks in a year to 18 months. And then I think the larger Software-as-a-Service have probably 18 months to 24 months going forward. A lot of that depends on bank's priorities with us to working all the time but we definitely are seeing improvements in conversion times.
Operator: And now from line of Chris Donat from Sandler O'Neill. Please go ahead.
Chris Donat: I just want to ask, you mentioned in your prepared remarks about having some one-time revenue in the quarter. I know you always have some level of it but was this particular call out and I’m just trying figure out if there is something I should be thinking about it?
Joe Ujobai: I mentioned one-time revenue it really comes from sort of three things there is very little one-time revenue associated with custom for Trust 3000 that pretty much that’s in port Trust for a long time that’s pretty much drawn by now. And so one-time revenue generally means three things, it implementation project revenue it's custom revenue for software we might develop, it's about for clients particularly around integration and that’s DB and their systems. And then it can be some upfront revenue that we are able to achieve in a sales and discovery process with large clients as we talk to them about Trust thing moving to the platform. So this quarter those sort of hopefully the things were included in the one-time.
Chris Donat: And all three of those are - they’re just lumpy right, there not easy…
Joe Ujobai: Extremely.
Operator: And now it’s line of Glenn Greene from Oppenheimer. Please go ahead.
Glenn Greene: First question just on your comments on wealth is the conversion timeline been delayed I mean I thought it was a scheduled for sort of early by early 2019?
Joe Ujobai: No, it’s the latter part of 2019.
Glenn Greene: So, there's no change in your timeframe from originally?
Joe Ujobai: That’s correct.
Glenn Greene: Any client losses within the net sales numbers it sort of been niche you called out a few quarters in the inning you did not caught up this quarter?
Joe Ujobai: No, no client losses this quarter.
Glenn Greene: And then the AMT happy - nice to get the flows and sounds like that’s trending well for the year. Could you give us some broad sense directionally what the profitability of the AMT part of TB&T is?
Joe Ujobai: Yes let me take a quick look at that. Yes, it's probably about 30. Yes it’s probably about 30 little more that plus percent.
Glenn Greene: And then in terms of regions did we have full quarter run rate going into the fourth quarter is that the way to think about it given the conversion rate at the end of the third quarter?
Joe Ujobai: That’s correct.
Operator: [Operator Instructions] And now it's line of Chris Shutler from William Blair. Please go ahead.
Chris Shutler: So I want to ask you about the expenses Joe so you said they may not come down for a couple of quarters is that because the software development expense is a going to remain reasonably consistent for the next few quarters and then if that starts to fall off or is it that you're thinking there'll be some sales events that generate additional comp?
Joe Ujobai: Right, there is still development related to Software-as-a-Service and Wells Fargo that will continue into next year prior to that conversion and again we would expect momentum on the sales and the conversion side. So, as some of the development you’ve done for Regions Bank and the Platform-as-a-Service comes off that’s probably going to pick up a little bit with sales and other conversion expense.
Chris Shutler: And then in the U.K. can you give us the assets under administration in the U.K. and talk about the flows there?
Joe Ujobai: There were about $2 billion in flows in the U.K. and I think and with market appreciation, the AUA there is $53.5 billion.
Chris Shutler: And then lastly on the professional services side or one-time revenue, I'm not sure if you call this out but how much of the revenue in the quarter was one-time in nature and if you look at the sales events the one-time sales and how much of that actually came through in the quarter?
Joe Ujobai: So sales at one-time sales event were about $6.4 million as we recognized in one-time revenue related to SWP about $5 million.
Chris Shutler: You recognized about $5 million in the quarter?
Joe Ujobai: About $5 million, yes.
Operator: Thank you. We have no more questions in queue, please continue.
Al West: Thank you, Joe. Our next segment is investment advisors, Wayne Withrow will cover this segment? Wayne?
Wayne Withrow: Thanks Al. During the third quarter we posted a good growth in our traditional business. At the same time we made the most progress to date in the transformation of our business to one supported by SEI wealth platform. Assets under management reached almost $62 billion at September 30, a 12% increase from September 30 of last year. During the quarter we had $430 million of positive net cash flow. Revenues for the quarter were $94.3 million. This compares to $85.3 million during last year's third quarter a 10.6% increase. Contributing to this increase were net positive cash flow and positive market returns. Expense for the quarter were up roughly 12% compared to third quarter of 2016. SEI wealth platform expenses were the largest part of this increase as we ramped up both our development and migration effort. An increase in direct cost and personnel expense tied to our growth was also a driver of this increase. On the new business front, we signed 113 advisors while balanced slightly from last quarter our pipeline of prospects remain strong. Moving on to the status of the SEIC platform, we migrated $12 billion in assets on September 30. This was our largest migration to date and we now have over $32 billion in the platform. Significantly, we now have more counts and AUM on SEI wealth platform than our legacy Trust 3000 platform. We have two migrations planned for 2018 and final migration stands from March 2019. One final topic I would like to mention is fee compression. We are responding to this trend in order to keep our pricing aligned with the market. To this end we reduced the expense ratios for two of our funds on January 1 of this year and then on July 1 we introduce fees on both our SMA and EPF product line. All of these reductions are full reflected in our third quarter results. These three reductions are just examples of our ongoing commitment to deliver commitment to deliver competitive value to enable business growth. In summary, we continue to recruit to advisors and gather net positive cash flow. While these activities are critical for our near term financial success in the broader view our currents efforts are all about transformation the FDI wealth platform and the business model flexibility and growth opportunities it holds for us in the future. I’ll welcome any questions you have.
Operator: [Operator Instructions] And we have a question from Chris Shutler from William Blair. Please go ahead.
Chris Shutler: So first could just you just restate the cash flow number I missed it, was it 340?
Wayne Withrow: 430.
Chris Shutler: 430, okay got it. And then the fee reductions you talked about, could just go into little more detail what the casual basis points went, what was the old expenses what’s the new expense ratios and what the other levels are?
Wayne Withrow: It's a two fee structure across all those product lines and it defers from product line to product line. What I would tell you is the impact on the third quarter of all those items were to reduce revenues and profits by about $1.9 million but that’s full reflected in the quarter.
Chris Shutler: So little less than $8 million annual?
Wayne Withrow: 7.5 million.
Chris Shutler: And then lastly just thinking about the competitive landscape here at the broker dealer landscape, does the acquisition of NPH by LPL does have any impact on the way your cash flow should trend over the next few quarters?
Wayne Withrow: That’s tough one answer. I would say not significant because I think it presents both an opportunity and a threat to us and we’re actively looking at those advices but quite frankly the way LPL did that transaction they didn't physically acquire the Advisors.
Chris Shutler: Right.
Wayne Withrow: Right now they’re preoccupied we’re finding a new brokers dealer before they look to find a new investment product that make sense.
Operator: And now to line of Chris Donat from Sandler O'Neill. Please go ahead.
Chris Donat: Just want to ask on the fee reduction on the funds and SMA and ETF what motivates that is that something where you got advisors who are leaning on you and threatening to go somewhere else or just seen what else is going on in the marketplace with some EPS cutting their fees, just I’m curious to see what your thought process was to get there?
Wayne Withrow: Well, we constantly monitored the markets across all of that products to see how our fee stack up and we do often get feedback from our advisors so it's a little bit of both. And it’s not surely pressure from the advisors, I mean we’re looking at how we can grow the business. And we engage in a fee reductions because we think it’s going to contribute to our growth more than anything else.
Operator: And now to line of Robert Lee from KBW. Please go ahead.
Robert Lee: Quick question just on the ETFs actually I know you have a kind of ETF although I guess of quarter-mile portfolio product and my sense is that demand for that has been increasing but that's not capturing your r AUM or I believe your flow numbers so could maybe update us on kind of demand for that product and how we should think about that flowing through your results because I guess it’s a kind of on an optics basis will lift your fee rate because you don’t have the AUM but you have revenues from it, is that am I correct in that or?
Wayne Withrow: No, that is reflected in our AUM because that is the way that program is organized comes to our SMA program, so you’re going to see that in the SMA results. So we do include on that AUM in that results that was first part question. The second part of the question as we see the demand for that product to continue increase which you know is what we see in the industry.
Robert Lee: So I guess if we're thinking of your - so then percentage including in your net cash flows is it just trying to get a sense is it coming a kind a meaningful portion of your net cash flows each quarter is a still kind a relatively small. But obviously growing this trying to think of that as a dry release the flow growth?
Wayne Withrow: No it’s a significant part of our cash flow.
Robert Lee: Moving to the size at all?
Wayne Withrow: No.
Robert Lee: I guess the last question around SWP platform could you just update us on where you are with going to roll out the greater capabilities market that to middle larger advisors or third party advisors kind of where you are with that initiative?
Wayne Withrow: Our number one objective right now to get the migration done, and we continue to roll that out to advisors like to lead more migration and then we’re going to be done and we’re on track to that, and we continue to roll out more and more capabilities especially in the self service area client reporting areas, that are very valuable to our clients. So I think that once we get the migrations done we will focus more on expanding the capabilities outside of those clients.
Operator: And now to the line of Glenn Greene from Oppenheimer. Please go ahead.
Glenn Greene: Wayne just one question back on the fee compression, so you sort of adjusted against January and July, are we sort of in a stage where we’re going to have more frequent sort of adjustments sort of the pricing model here and we should sort be thinking about you know once twice a year around the fee compression?
Wayne Withrow: It’s so hard for me to answer that question in theory because we’re going to monitor the market and we’re going to do what we do need to do to keep our product competitive. What I could tell you as we have nothing planned at this point.
Operator: Thank you. We have no more questions in queue please continue.
Al West: Thank you, Wayne. And our next segment is Institutional Investors segment and Paul Klauder will report on this segment.
Paul Klauder: Thanks Al. Good afternoon everyone. I'm going to discuss the financial results for the third quarter of 2017. Third quarter revenues of $80.4 million increased 5% compared to the third quarter of 2016. This was primarily due to market appreciation and positive client fundings. Net earnings funding for the quarter were a positive $1.2 billion. This was net of client losses principally due to DB corporate clients, mergers and acquisitions. Operating profit of $40.4 million increased 3% compared to the third quarter of 2016 primarily due to market appreciation and client fundings but was offset in part by higher compensation and operating expenses. Quarter and assets balances of $93.2 billion reflect $11.8 billion increase compared to the third quarter 2016. This increase is driven by higher capital market, positive client fundings and advised externally manage assets included in the asset base in 2017. New clients signing for the quarter was $730 million and the unfunded client backlog was $400 million at quarter end. In our growth markets new client signings included four U.S. foundations and endowments and a cross-sell with existing corporate defined-benefit clients. Our sales five are going continues to feasibility expanding growth market, the competitive landscape for OCIO or fiduciary management is increasing and we continue to invest in our solution and people to distinguish ourselves. Thank you very much. And I'm happy to answer any questions that you may have.
Operator: [Operator Instructions] And we have question from Robert Lee from KBW. Please go ahead.
Robert Lee: Just want to follow up to your last comment about kind of investing for your growth, I mean I know there are some margin came in a little bit this quarter from kind of the - it’s called the 51 and change I mean obviously not far off but the 51 and change you been running at. So you mean should we be thinking that just given some of the investment needs and then also some I guess incremental pressure from the competitive landscape that margin may be running a little bit lower in here for a while then maybe they have been more recently in that kind of low 50s range?
Paul Klauder: Yes, I think that’s fair. I mean I think you’re going to see maybe just a little bit of retrench in margin as we invest in both people a little bit of technology but also we’re going to be launching some new products and those products are really continuing to diversify our suite of alternatives and by doing that it specifically for foundations and endowments that consume that at high clip we should be able to get that back with higher revenue products down the line. But these are investments we need to make - we've made already this year that are going to help us continue to exploit and grow in these markets that are going to be around for opportunity.
Robert Lee: And just kind of curious means about the first time you talked about the increased competition in the OCIO marketplace, but I’m just kind of interested to hear is it, how is the landscape between say new competition there in the U.S. versus say outside the U.S. where you also have a pretty healthy size business so trying to get a sense of is there meaningful difference between the two kind of regions?
Paul Klauder: In the pension space you see players like Aon Hewitt, Willis Towers Watson, Mercer. They're both here in U.S. as well the U.K. and around the globe. So they’re pretty consistent competitors across the defined-benefit space. As you look at different markets if you look at U.S. endowments and foundations, if you look at healthcare you look at [indiscernible] government, we’re one of the few firms that cut across all those markets but in each of those respective markets are unique competitors. So there are people that are just say if it’s both colleges and universities or just healthcare or just say partly. So we need to distinguish ourselves versus them but what we are able to distinguish is the size and skill of our organization a $90 plus billion in OCIO U.S. it’s 480 clients, the fact that we have been doing this for 25 years, the fact that we don't have a separate consulting operation. When people value those components and those qualitative remarks and quantitative remarks, we’re going to do very well. So we have distinguishing characteristics versus a lot of different competitors and some are the ones that you mentioned or as I mentioned we do see globally but also some we just see a niche market here in the U.S.
Operator: And now to the line of Glenn Greene from Oppenheimer. Please go ahead.
Glenn Greene: So the net fundings the $1.2 billion, could you sort of gross that up for us and what I trying to get is the losses on the DB side?
Paul Klauder: $2.1 billion gross, $900 million in losses.
Glenn Greene: And that was all DB?
Paul Klauder: It’s almost exclusively DB.
Glenn Greene: And then on the signings just directionally in terms of the growth markets whether it's DC endowments, international give us a flavor where the signings came from?
Paul Klauder: The signing were $600 million in foundations and endowments, and then the rest was a small DB in the U.K. and then an existing corporate DB client actually gave us their Aviva asset, which is their medical plan so that makes up the difference. We saw a little bit of slowdown in decisions in July and August, so our signings are down a little bit relative to other quarters. But we are comfortable that the pipeline has grown and we see even so far in October, first phase of decisions that are being made.
Operator: And now to the line of Chris Shutler from William Blair. Please go ahead.
Chris Shutler: Paul, Glenn stole my questions, so I’m good.
Operator: Thank you. We have no one else in queue please continue.
Al West: Thank you, Paul. And our final segment today is Investment Manager, I am going to turn it over to Steve Meyer to discuss this segment. Steve?
Steve Meyer: Thanks Al. Good afternoon, everyone. For the third quarter of 2017 revenues for the segment totaled $91 million which was $15.3 million or 20.3% higher as compared to our revenue in the third quarter of 2016. This increase in revenue was primarily due to new client fundings and market appreciation during this time period, as well as the addition of the revenue from our acquisition of Archway. Archway revenue included in the above number for the third quarter was $5 million so X Archway our total revenue would have been $86 million which was $10.3 million or 13.6% higher as compared to our revenue in the third quarter of 2016. Our quarterly profit for this segment of $31.2 million was $4.1 million or 15.2% higher in the third quarter of 2016. This includes a slight drag on profit from the Archway acquisition in the amount of $500,000 which is primarily attributable to amortization charges. The business results and impact of the Archway acquisition are consistent with our expectations. Third-party asset balances at the end of the third quarter of 2017 were $493.5 billion approximately $42.3 billion or 9.4% higher as compared to asset balances at the end of the third quarter of 2016 and approximately $17 billion or 3.6% higher as compared to the asset balances at the end of the second quarter 2017. The increase in assets year-over-year was due to net new client fundings of $20.8 billion combined with market appreciation of $21.5 billion. Turning to market activity going to third quarter of 2017, we had a strong sales quarter. Net new sales event totaled $10.3 million in annualized revenue. These sales were comprised of new named business, as well an expansion of existing business with current client across all of our segments and included multiple business wins in alternative market including large middle office and back office outsourcing agendas with existing private equity funds, a large traditional manager flow outsourcing mandate, several family office wins and finally several new wins in our regulatory compliance business. From a market perspective we feel well-positioned. Demand across all our segments to the market remains strong and the addition of Archway and its capabilities to our platform adds a new market for growth, as well as an opportunity to grow market share with existing clients across multiple business unit at SEI. So in summary, we continue to executive on our growth strategy and continue to invest in our current solutions and platforms. We remain optimistic on our short-term and long-term growth plans. That concludes my prepared remarks, and I'll now turn it over to any questions you may have.
Operator: [Operator Instructions] And now to line of Chris Shutler from William Blair. Please go ahead.
Chris Shutler: I was to ask about backlog and retention.
Steve Meyer: So backlog is right around $35.3 million coming out of order and retention, we actually had a pretty strong re-contract order, no losses this quarter.
Operator: [Operator Instructions] And we have no more questions in queue. Please continue.
Al West: Thank you, Steve. I'd like now to for Kathy Heilig to give you a few companywide statistics, Kathy?
Kathy Heilig: Thanks Al. Good afternoon, everyone. I've some additional corporate information about the third quarter. Third quarter cash flow from operations was $131.5 million or $0.82 per share, bringing year-to-date cash flow from operations to $316.4 million. Free cash flow for the third quarter was $106.3 million bringing year-to-date free cash flow to $247.7 million. In the third quarter, capital expenditures excluding the capitalized software was $10.1 million, and year-to-date capital expenditures have been $20.3 million. We project about another $10 million of capital expenditures in the fourth quarter. We also would like to remind you that many of our comments are forward-looking statements and are based upon assumptions that involve risks and that the financial information presented in our release and on this call is unaudited. Future revenues and income could differ from expected results. We have no obligation to publicly update or correct any statements herein as a result of future developments. You should refer to our periodic SEC filings through a description of various risks and uncertainties that could affect our future financial results. And please feel free to ask any other questions that you may have.
Operator: And we go to line of Chris Shutler from William Blair. Please go ahead.
Chris Shutler: Thanks for taking the follow-up. Just one more for Joe. Joe, I just wanted to confirm the three SWP wins you talked about, one was Trustmark, City National and what was the third?
Joe Ujobai: Moody National.
Chris Shutler: Okay. Got it.
Joe Ujobai: Moody is in Texas, Trustmark in Mississippi, and City National is in Los Angeles.
Chris Shutler: And with City National the additional book of business that you talked about, can you just talk about what that was and was that additional book in the 5.4 of recurring sales events?
Joe Ujobai: Yes, the recurring net number it’s the additional revenues we expect on top of client for Trust 3000 today, so yes that book is included in that recurring net number and it’s another book of Trust business inside the City National that we didn’t process in the past.
Operator: And now it’s line of Glenn Greene from Oppenheimer. Please go ahead.
Glenn Greene: Just back on Archway, was any sales results for $10.3 million any about from Archway and just maybe just high-level color on what you seen from Archway since you acquired it?
Steve Meyer : Yes about 10% or just $10 million was from Archway. We see that they have a strong pipeline pre acquisition we've seen that pipeline continue to be strong growth. So expect more results going forward.
Operator: Thank you. We have no more questions in queue.
Al West: Thanks Kathy. And so ladies and gentlemen, we're bound to have - we are proud to have the largest advisory migration to-date and the conversion of Regions Bank behind us. These projects will have a profound effect on our advisory and banking businesses. In addition I'm encouraged by the strategic direction in each of our business lines is taking and the progress they are making. I believe there are investments will help us soon benefit from the changes taking place in our industry. So have a good day everyone and thank you for attending our call. We have an Investor Day starting with dinner on the 15th, Wednesday night November 15 and the presentations will be on the 16th which is a Thursday. Thank you very much. Hope to see you there.
Operator: Thank you. And ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.